Høgni Jakobsen: [Call Starts Abruptly] Fourth Quarter 2023. My name is Høgni Jakobsen, CFO of Bakkafrost, and together with Regin Jacobsen, our CEO, we will go through the summary and some highlights from the quarter, market and sales, provide an update on financials and ESG and also give you an operational update and then a glimpse at the outlook for the coming periods. There are also some slides included in appendix of this presentation, which we will not go through in this morning, but they are for own study. So some highlights from this quarter. We have revenues of DKK 1,562 million, around 90% lower than the same period last year. Group operational EBIT was DKK 356 million compared to DKK 376 million last year. 17% lower harvest volumes in the Faroese where we harvested 16,000 tonne compared to 19,000 tonne last year. And as announced in our previous quarterly presentation, we reduced the harvest in Scotland in order to gain from the improved biology that we had from mid-September and onwards. So we have reduced the harvest to 1,000 tonne compared to 5,200 tonne the year before. And that will then go into this year's harvest at higher weights and higher value. Our FOF segment, fishmeal, oil and feed, has delivered yet another strong quarter. Feed sales increased to 39,000 tonne versus the 33,000 tonne last year. 98% of the feed was sold internally in Bakkafrost. External fish oil sales were high, more than 5,400 tonne, which is almost twice what we had the year before. And of course, that links into the good access of raw material that we had last year, including of fatty fish, which meant that we had record high volume for the year, 467,000 tonne of marine raw materials sourced in total for last year. Marine sourcing in the fourth quarter was 53,500 tonne. Cash flow from operations was minus DKK 112 million. All segments had positive EBIT margins, except the Scottish segment. And the Board has decided to propose to the general meeting a dividend payment of DKK 8.7 per share to be paid in dividends. Moving on to markets and sales. Beginning with the global markets. The average price for 4 to 5 kilo superior salmon in the quarter was NOK 83, a 12% increase compared to the same quarter last year. However, if you look at the prices in euro, it was more or less unchanged, so a flat development. NOK prices increased through the quarter and have exceeded previous year's pricing throughout the quarter and also into the first quarter of this year. During 2023, we saw increasing price gap between small fish and large fish in the market. That gap has somewhat normalized in the fourth quarter. Market supply was lower than expected, but there was high availability of smaller and downgraded fish. But also some -- in certain markets, there were some resistance to very high pricing, which affected the margins on larger fish. So all in all, this affected the market dynamics in this quarter. According to the last update from Kontali on sold quantities to the markets, global sales in the quarter to the European market was down by 2%, which was in line with the supply reduction from Europe. Global sales to the U.S. was flat with a slight -- in a period where there was a slight increase in American harvest. Greater China continued the trend that we have seen in previous quarters as well, taking an increased share of the supply. Sale to China [increase was] 29% in the quarter. Sale to Japan and the Asian markets were affected negatively by the high air freight costs, but also by somewhat increased consumer price sensitivity in especially the Japanese market. So a 20% reduction approximately to those markets. Latin America, and in particular, Brazil, took 14% more of the supply in this quarter. The global harvest in the quarter dropped 2%, but that was mainly offset -- or more or less offset by inventory movements, so a flat supply in the quarter, a 3% drop in European harvest. Norway was the main driver behind that drop. Due to increased biological challenges, volumes from Norway reduced. Average rates also dropped in Norway, approximately 1% and feed sales dropped 4%. Norwegian harvest dropped 13,000 tonne or 3.4% in the quarter. In UK, there was a significantly reduced harvest, dropped 18%. Harvest rates were down to 3.9 kilo, but feed sales increased. This was also a quarter with biological challenges in Scotland as a whole, a bit different between the companies. We managed to get out of the worst period in mid-September and deliberately delayed our harvest in Scotland as previously mentioned. In the Faroese, harvest volumes increased by 18%. Harvest weights increased 4% to nearly 5 kilo, slightly lower feed sales. Chile, small increase in the harvest, also an increase of 3% in harvest weights to 4.6 kilo. Some biological challenges from algae, et cetera, which we expect will have -- be more likely to affect the harvest in this quarter than in the previous. There was estimated 7% to 8% drop in feed sales in the Chilean market. Moving on to financials. As mentioned in the summary, we had a revenue of around DKK 1.6 billion in this quarter, a drop of 19%, 5% lower operational EBIT of DKK 356 million. Positive fair value adjustments of DKK 182 million. The main driver is the changed biomass profile. We had 26% higher biomass in the Faroese at the end of the quarter compared to the quarter before. And if we look at the size distribution, we had 30% -- 30% of the biomass was above 4 kilo compared to 38% the year before. So more larger fish. Revenue tax in this quarter was DKK 27 million compared to DKK 51 million in the same quarter last year. We had a profit after tax of DKK 392 million. Year-to-date, we have an operational EBIT of DKK 1.5 billion and adjusted earnings per share of DKK 3.56 in this quarter and DKK 17.45 for the year. On the balance sheet, some of the main changes are an increase of DKK 573 million in property, plant and equipment, which accounted to around DKK 6.2 billion at the end of the quarter, increase of DKK 397 million in our biological assets to around DKK 3.3 billion. Inventory increased DKK 74 million, exceeding DKK 1.1 billion at the end of the quarter. This includes quite significant inventory still at our fishmeal, oil and feed factory. Cash and cash equivalents have reduced by DKK 308 million and a small change in equity ratio to 61%. Cash flow from operations were negative DKK 112 million, investments negative DKK 302 million, and financing -- cash flow from financing was DKK 456 million by the end of this quarter. In this quarter, we have increased our net interest-bearing debt with DKK 488 million. And at the end of the quarter, our net interest-bearing debt was around DKK 3.5 billion. We had undrawn credit facilities of DKK 1.9 billion and still have an accordion option of EUR 150 million available. And finally, before handing over to Regin, I will give an update on some ESG-related events in this quarter. We are firmly committed to our CO2 reduction targets, which were approved by SBTi in 2023. That means that we will reduce our Scope 1 and 2 emissions by 50% in 2030. And it's a huge challenge, a challenge that we feel is best solved in collaboration with suppliers with whom we have engaged to join forces and find solutions together. In 2022, we gathered the largest ferry suppliers for a Supplier Day to facilitate collaboration expectations and also to find innovative solutions together. This was a huge success. And in the fourth quarter this year or in '23, we did the same in Scotland, hosted a Supplier Day where 42 of our largest suppliers from all around UK and Scotland and even Norway participated. Now this collaboration has kick started and we already see some positive outcomes of the engagements. Going back to the event that we had in the Faroes in November '22, some of those outcomes have become quite more tangible, you could say. One of them is Eysturlund. In the fourth quarter, we disclosed that we had partnered up with our supplier, the Far East energy company FO in a large wind mill at a wind farm project called Eysturlund. This will be, by far, the largest wind farm in the Faroese, tripling the current wind power production. With 24 large wind mills, this will be enough to or have the capacity to replace around 10% of all the fossil fuel consumed in the Faroese, both on land and also in the marine environment and the fleet of ships and fishing vessels. So a huge capacity, a huge increase in renewable energy generation. And it is planned to have a direct connection to our fishmeal, oil and feed plant Havsbrun to replace most of the oil that we use in the production there. In 2022, our production in Havsbrun alone accounted for 53% of our total Scope 1 and 2 emission. So this is a huge leap forward for us to reduce our emissions. Once we stated our targets for reducing our Scope 1 and 2 emissions, one of the requirements was that we needed to find sources of affordable renewable energy and this is one of those solutions. This project is now pending approval from the authorities, which we hopefully can give an update on within not too long from now. Another example is our participation in the first transatlantic flight with 100% sustainable air fuel. This was a participation with the Virgin Atlantic and Kuehne+Nagel. Our salmon was onboard on the flight. And the flight demonstrated the potential of flying with 100% sustainable air fuel. Current standards allow up to 50%. The industry uses 0.1%. So there's a long way to go. But of course, the airline industry also needs to find efficient solutions to reduce CO2 emissions, and this could be one way. So a long way. I showed the way for Regin to take over the podium. I will leave you. Over to you, Regin, to go through the segments.
Regin Jacobsen: Thank you very much. Good morning. First of all, we have this overview of the performance per region in Bakkafrost. The performance per region was very different in the past quarter. For the group, we see that the operational EBIT was DKK 20.87 per kilo for the fourth quarter and DKK 21 per kilo for the full year of '23. For Scotland, however, the numbers were minus DKK 97.75 for the quarter and minus DKK 6.84 for the full year. For Faroese, when we combine all the segments, we see that the quarterly EBIT per kilo was DKK 28.74 and for the full year, the operational EBIT per kilo or Faroe Islands was DKK 32.15, which corresponds to [NOK 49.15] per kilo. The overview shows the breakdown into segments, and we will touch each of them on the following pages. Coming to our FOF, fish oil, feed and the fishmeal segment. Again, this quarter had a breaking quarter with high sourcing of raw material for fishmeal and oil and more products sold than before. The marine raw materials sourced was 54,000 tonne in the fourth quarter corresponding -- or comparing with 46,000 tonne the year before. The source volume for the full year '23 was 467,000 tonne, which is all-time high versus 298,000 the year before. The external sales of finished products were also a record high with 12,000 tonne of fishmeal and 5,400 tonne of fish oil. Fish feed is sold internally and is 21% up, which relates very much, of course, to the higher biomass that we have in the sea, both in Faroese and in Scotland. Total sales of fish oil, external sales of fish oil, was also significantly up from 2,800 tonne to 5,400 tonne in this quarter. So if we combine all the finished products from Havsbrun, the fishmeal, oil and feed segment in this quarter, we -- or in the year 2023, we see a combined volume of 210,000 tonne of finished products, fishmeal, oil and feed. In this quarter, the margin more than doubled from DKK 105 million in the fourth quarter of '22 to DKK 239 million in the fourth quarter '23. And the margin increased from 13% to 25%. Raw material sourcing is difficult to forecast. However, the ICES advice on blue whiting catches in the North Atlantic increased 80% last year and is increasing another 12.5% for '24 from 1,360,000 tonne to 1,530,000 tonne in the last update. Raw material prices for feed have increased significantly over the last years, leading to higher production cost for farmed Atlantic salmon, but it's expected to be more flattish now or even maybe a small decline. The freshwater segment in Faroe Islands includes broodstock and hatcheries. The total number of released smolt in the fourth quarter '23 was 5.2 million fish versus 5.0 million last year. The average weight of the transferred fish was 375 gram versus 304 gram last year. The full year average size increased from 304 gram to 396 gram in '23. The operation in the fourth quarter '23 delivered an operational EBIT per kilo [of] NOK 41.78 and the margin was 28% versus 32% last year. After the expansion we did on Glyvradal and Norotoftir, which started up in '23, we are now ramping up the production in the hatcheries in Faroese to meet our expected target of around 9,000 tonne of fresh water capacity now available in Faroe Islands. We have just now started the construction of the hatchery in Skalavik, the new hatchery site in Skalavik. This hatchery will add another 40% of capacity in Faroese, bringing the total capacity up to 12,000 tonne by '27. The land was bought 3 years ago, the building ground was prepared -- finished prepared a year ago, and the actual construction will start -- it's actually starting right now as we speak. The freshwater segment in Scotland is mainly the Applecross hatchery, but then there are some new sites or we are building some new sites on broodstock. In the fourth quarter, we transferred 1.7 million smolt versus 3.5 million the year before. The sizes were quite flat, 130 gram versus 115 gram last year. The total transfer in '23 has been taken down to 9 million smolt versus 11 million smolt the year before. The focus for freshwater Scotland now is to produce healthy and robust, large smolt and to be self-sufficient with smolt for our operations in Scotland. In '24, nearly all our smolt will go to sea at above 200 gram, having been reared in our own hatcheries. All smolt in Scotland are now being vaccinated with the latest antiviral targeted to marine risks and time to reduce to only one summer in the sea. In the Faroe Islands, the total harvest volume in the fourth quarter '23 was 16,000 tonne versus 19,000 tonne the same period last year. The average weight of the harvest was 4.7 kilo, more or less unchanged from last year. The operational EBIT was NOK 6.27, down from NOK 18.43 last year. The operational EBIT was 7% versus 24% last year. The temperatures in the Faroese farming fields were marginally warmer in this quarter than the average for the last 20 years. The breakdown of the Faroese volume was 65% from the North region, 24% from the West and 10% from the South. The performance in all regions were quite similar in this quarter. The growth in our sites are now very good coming up again from the dip that we had in the second half last year, especially in the third quarter and are actually all-time good. And the biology in our farms are also very good. The farming segment in Scotland had a volume in the fourth quarter of only 1,062 tonne versus 5,198 tonne in the same period last year. This is in line with our message in October when we announced our plan to reduce the harvest in the fourth quarter on the back of the good development in biology since mid-September. So we allow the fish to grow into the first half of '24 which will give us better average weight and better prices for our products. The average harvest weight was 2.8 kilo in the fourth quarter versus 3.2 kilo the same period last year. So this was mainly fish that were harvested in order to protect them. Because of low volume, costs have been relatively high, leading to a low operational EBIT. The operational EBIT margin was minus 96% versus minus 62% last year. I will repeat our message from last quarter about our derisking plans in Scotland that we have made strategic adjustments to our short-term planning and production strategy for the Scottish farming operation. A comprehensive risk assessment has been conducted for all farming sites, evaluating the farming visibilities of stocking and farming these sites using various strains, hatcheries and smolt sizes. Based on this evaluation, Bakkafrost will prioritize and advance the utilization of large, high-quality smolt from the Applecross hatchery or external sources. Some farming sites will not be restocked and remain empty during the third quarter after the risk have been mitigated through the use of large healthy robust smolt. This approach will reduce the biomass entering into the third quarter and increase the harvest during the first half of the year. The service segment provides several services to the group. The operational EBIT amounted to NOK 1.18 in the quarter, up from [NOK 0.06] the previous quarter or the same period last year. The operational margin was 7% in this quarter, up from 1%. Low sea lice numbers across both Faroese and Scottish farms are a result of good capacity with generally higher effective treatment capacities. The sales segment had a transfer in the fourth quarter of 5,735 tonne into VAP products versus 6,900 tonne in the same period the year before. And this segment delivered a margin of NOK 9.27 per kilo per kilo, which is 52% up from the same period the year before. The margin was 4% in the fourth quarter, '23, up from 2% in the same period before. The VAP share was 36% in this quarter, unchanged from the same period the year before. Going forward, we are reducing our contract share down to 9% of the expected volume for '24. Main markets served shows a significant increase in the sale from Faroe Islands to the U.S. markets with a 25% share versus only 15% share the same period the year before. We see a good and strong demand from this market. The expected volumes looking for the outlook for the industry on the supply volume, we see the supply to the markets to come somewhat down from what we expected on the last presentation. The fourth quarter '23 ended with a 2% reduction on global harvest versus an expectation of a 4% increase. The first half of '24 is now expected to be reduced to 0% growth versus 3% expectation in the last presentation. Significantly lower-than-expected volumes in the fourth quarter originated mainly from European harvest. The total global harvest growth for the full year '24 is low and now expected to be 2%. The drivers for the revisions are mainly biological challenges such as sea lice, Jellyfish, gill issues and other causes biologies, et cetera. Speculations about global warming and El Nino with higher temperatures have also been mentioned as one potential driver. Expensive lessons learned from a growing salmon farming industry shows that it is very important to develop robust and strong farming regimes with strong procedures and operations with good capacity of gentle and fish welfare friendly systems. For Bakkafrost, we expect 2024 to deliver a harvest of 91,000 tonne. This will be delivered -- 52% of this will be delivered in the first half of '24, which is a bit different than we have done previously. We have much more large fish in the waters at the moment which will be harvested in the first half of the year. We will -- we expect this year to transfer 27 million smolt into the waters. And our ambition is to grow them larger than before. And for this year, only 9% of our sales are contracted to finished products, which is a lower share than before. And on the fishmeal and oil segment, we expect a somewhat more flattish development, probably a bit lower on fish oil sales than previously. Hopefully, a good development on fishmeal, should also be a bit more fish feed going forward. We had a Capital Market Day last year and announced our plans to build a capacity for 200,000 tonne by 2028 and an actual production of 160,000 tonne until that time also. So we are just on the ramping up of our volume. Hopefully, we will see more of that as -- in the coming days. Thank you very much. And now we will open up for questions.
Q - Herman Dahl: Herman Dahl, Nordea. Just on the feed side, could you try to sort of decompose what's the price effects of the extremely high margins, both in Q3 and Q4? And if there are some underlying operational effects of better utilization of the -- of your capacity, perhaps in conjunction with better utilization due to the fact that you also serve Scotland right now?
Regin Jacobsen: So when you say -- did you say price effects?
Herman Dahl: Just to decompose the price effects and the operational effects if there are any underlying operational improvements in the feed segment in the quarter compared to Q4 in '22, perhaps.
Regin Jacobsen: So you mean the utilization of the capacity?
Herman Dahl: Yes, and other things that improved [indiscernible].
Regin Jacobsen: Yes. Of course, with a high volume, as we have seen now in 2023, this, of course, has a good -- leads to a very good and efficient operation, which gives a lower cost base for the production as such in the FOF segment. So that's one effect of it that we are very efficient with a high utilization of capacity. But we have also seen that we have been a bit lucky also in the market with the price utilization because we had large volumes in inventories. So that's also an effect. But we still also have volumes available for sales. Some of them -- of this has been sold for the first quarter now. But I think the biggest driver for our feed in Bakkafrost, the biggest importance for Bakkafrost is our long value chain where we see a huge importance, a driver by utilizing the marine ingredients in our products and the recipe of feed, which is unique for Bakkafrost salmon. So the driver in branding our products is strong, but we also see a relation with a healthy biology from our feed. So there are significant drivers in our branding strategy and our value chain as such with feed as a very important and integral part of our operation. I'm not sure if that's an answer or any follow-up question?
Herman Dahl: Pretty good. Another one, if I may. Can you say something on harvest weights so far in Q1? So far in Q1, harvest weights have been high. We have harvested around 5.5 kilo gutted weight so far in the first quarter in Faroe Islands. In Scotland, it is probably between 4.5 kilos and 5 kilos.
Christian Nordby : Christian Nordby, Arctic Securities. There's quite a lot of talks in the media now in Norway about production fish and downgrade fish to jellyfish and winter wounds and these things. How is your superior share developing compared to the media in Norway?
Regin Jacobsen: In Faroe Islands, in the fourth quarter, our superior share was 90% and in Scotland, it was 89%. That's superior share. Then we have the ordinary share, which is just some minor issues. So the production grade is around 3%, both in Faroese and in Scotland. And that's also maintaining in the first quarter. We don't see any development -- negative development.
Christian Nordby : And in one of your slides, you showed that the big fish premium was a bit lower in Q4 than previously. Have you also seen that that's picking up now in Q1 due to the production fish in the market?
Regin Jacobsen: That's a good question. We see -- it's very depending on the sizes in our case. We see [us] stronger. So that was the general deviation in the market from Kontali information. So that was not our numbers. We see, especially on large fish, a good -- a better margin that was indicated there. But that's -- I guess that's also mainly driven by a brand premium and not only by the market itself. So there are two components there.
Christian Nordby : And one last question, on fish oil you say that you should expect somewhat more normalization in production. But will you still sell quite a lot in 2024 because of inventory situation?
Regin Jacobsen: Yes, we will still sell some volumes because of inventory situation, as you said. Yes.
Unidentified Analyst : [Aura Totton], DNB Markets. Can you comment on the first test batch you released in May in Scotland? How has it performed and, yes, how has it developed through the fall?
Regin Jacobsen: Yes. I don't have any numbers which we have prepared. But just to my knowledge, it's going good. But I don't have any actual numbers to share with you. Sorry.
Regin Jacobsen: Okay. Thank you very much. That's all. Thank you very much.